Operator: Thank you for standing by. This is the conference operator. Welcome to the IAMGOLD Fourth Quarter and 2020 Full Year Operating and Financial Results Conference Call and Webcast. As a reminder, all participants are in listen-only mode and the conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Indi Gopinathan, Vice President Investor Relations and Corporate Communications for IAMGOLD. Please, go ahead.
Indi Gopinathan: Thank you very much, Sachi, and welcome, everyone, to the IAMGOLD Fourth Quarter and Full Year 2020 Conference Call. Joining me today on the call are Gordon Stothart, President and Chief Executive Officer; Carol Banducci, Executive Vice President and Chief Financial Officer; Craig MacDougall, Executive Vice President, growth; Bruno Lemelin, Senior Vice President, Operations and Projects; and Tim Bradburn, Senior Vice President, General Counsel and Corporate Secretary. Our remarks on this call will include forward-looking statements. Please refer to the cautionary language regarding forward-looking information in our disclosure documents and be advised that the same cautionary language applies to our remarks during the call. During the call, non-GAAP measures will be referenced, and we direct you to review the reconciliations in our disclosures relating to these measures. With respect to the technical information to be discussed, please refer to the technical information and qualified person slide. The slides referenced on this call can be viewed on our website. I will now turn the call over to our President and CEO, Gordon Stothart.
Gordon Stothart: Well, thank you, Indi. Good morning, everyone, and thank you for joining us reporting on our Q4 and 2020 results. 2020, certainly, I think, a challenging world for the -- challenging year for the whole world, but we're really eagerly looking forward to 2021. So I'll start with the key highlights of the fourth quarter and the year. At the corporate level, IAMGOLD demonstrated that strong leverage to the gold price with a 280% increase year-over-year in mine site free cash flows, generating more than $223 million. We ended the year with almost $1 billion in cash and short-term investments on our balance sheet and nearly $1.5 billion in total liquidity. We continue to proactively manage the impacts of the global COVID-19 pandemic on our operations, development projects and exploration activities with a rapid response and strict safety protocols. Reflecting our long-held Zero Harm vision, we were recognized for our peer-leading environmental, social and governance practices by a number of independent organizations. Focusing on governance, we embraced evolving best practices through Board renewal. Switching to the operational highlights. Essakane continues to deliver with a strong finish to the year and its best quarterly performance in 2020 and Q4. Rosebel demonstrated a strong increase in mining rates in the fourth quarter. And Westwood, despite its challenges, was free cash flow positive and continue to process open pit ore from the adjacent Grand Duc satellite pit. Westwood has a significant resource base, and we are taking a cautious approach as we assess its business continuity plan, while the underground mine is in care and maintenance mode following the seismic event last quarter. At Cote, construction commenced in the fall of 2020 and continues to progress well, with major earthworks having commenced in January. Ahead of schedule. Looking forward, we continue to develop our districts with delineation drilling at Gosselin near Cote in support of an initial resource estimate later in the year with project derisking at Boto and with further drilling at Nelligan ahead of an updated resource. We are coming upon almost a year of living with the COVID-19 in our midst. I'm proud of the rapid and adaptable response across the company to this challenging situation. Noteworthy efforts included Essakane, the reconfiguration of the camp to accommodate new protocols, establishment of a two--bed field hospital at site as well as setting up a medical confinement house in Ouagadougou for managing quarantines. With these protocols and systems in place, Essakane has been operating at normal capacity since Q3 of 2020. At Westwood, no cases have arisen at site with health and safety protocols implemented immediately upon restart last April following the government-mandated shutdown. After the seismic event in the fourth quarter, mill operations continue to operate under our well-established protocols, processing Grand Duc ore while the mine remains suspended under care and maintenance. In fact, we have seen the mill achieve a record rate of throughput during this period. At Rosebel, the camp expansion is well advanced following the receipt of all the modules required, and we expect to accommodate our full workforce through the staged addition of 300 new beds by the second quarter of 2021. The site was operating at 75% of mining capacity at year-end and is currently operating at 85%. At Cote, we've taken what we've learned from our operating sites and established robust testing and operating protocols to protect both the local communities and the workforce, and to date, we have had no COVID-19 cases at Cote. Community support and engagement are fundamental aspects of our Zero Harm commitment. In the fourth quarter 2020, COVID-19-related activities included, at Rosebel, the creation of a local community field squad to assist the local governments in promoting COVID-19 awareness and preventative measures. At Essakane, drones were deployed to help spread the message of awareness and social distancing. Through 2020, IAMGOLD contributed $1.5 million to local communities in which we operate globally, including cleaning equipment and supplies, protective medical equipment and life support equipment. As you know, IAMGOLD is committed to achieving high standards in environmental, social and governance practices, which reflect our long-held Zero Harm vision. Highlights of activities include hosting our annual health, safety and environment days event over four days at Essakane, co-chaired by the Minister of Energy and the Ministry of Environment, green economy and climate change of Burkina Faso. Completion of Phase one of the Triangle d'eau public-private partnership to bring potable water to 60,000 people in Burkina Faso. We are also lobbying our partners and other stakeholders for the second phase of the Triangle d'eau project now that Phase one has been completed with the goal of extending water infrastructure to two other communities nearby our Essakane mine. Our ultimate goal is to bring potable water to 200,000 people in the area. Also at Essakane, we completed a one year-long pilot internship program consisting of 10 local mining engineering students. Our ESG efforts have been recognized by independent parties, including Moody's affiliate, Vigeo Eiris, assessment of environment, social and governance practices, which ranked us fourth out of 45 sector peers, including senior producers. IAMGOLD's assessment reflected notable strengths in community involvement, environmental strategy, health and safety, governance. MSCI's ESG ratings, where we maintained an A rating, placed IAMGOLD in the top 1/3 of precious metal companies. Bloomberg's 2021 Gender Equality Index, where IAMGOLD was recognized for a third consecutive year among 380 global companies across various industries that foster a more inclusive and equitable workplace. And the prestigious Corporate Knights 2021 Global 100 Sustainability Scorecard, where we have been ranked 10th out of 116 global mining companies reviewed and among 8,000 global companies spanning various industries reviewed. Looking forward to operations in 2021, we are planning for global production of 630,000 to 700,000 ounces for the year; cost of sales between $980 to $1,030 per ounce sold; total cash cost between $930 and $980 per ounce produced; and all-in sustaining costs between $1,230 and $1,280 per ounce sold. The first quarter of 2021 is expected to be at a slightly lower level of production than the second quarter of 2020 due to the Westwood underground operations being placed on care and maintenance with restart targeted for in H2 and also due to lower production anticipated at Rosebel as the mining sequencing continues to advance to normal rates commensurate with camp expansion as described earlier. Costs are expected to be lower in the second half of 2021, benefiting from a higher anticipated production relative to the first half of 2021. Guidance for the year reflects ongoing efforts to improve productivity and optimize performance across our operating sites while safeguarding operations against any resurgent COVID-19 risks. Our 2021 outlook for capital expenditures includes at Essakane sustaining capital of $60 million and non-sustaining capital expenditures of $90 million; at Rosebel, sustaining capital of $50 million and non-sustaining capital expenditures of $75 million; at Westwood, sustaining capital of $10 million and non-sustaining capital of $10 million; at Cote, development capital expenditures of $355 million; and at Boto, derisking capital expenditures of $60 million. For the year, total sustaining capital expenditures will be $120 million while non-sustaining capital totals $590 million, plus or minus 5%. In 2021, we look forward to updating you on Rosebel resuming its operating cadence following the camp expansions as well as completion of the Saramacca infrastructure construction. Essakane completed the mill optimization project in the first quarter of 2021 with expected improvement in hard rock ore processing capacity, the advancement of our growth projects, including major earthworks at Cote and the expansion of the construction camp and access road and project infrastructure derisking work at Boto. In exploration at Gosselin, we are planning resource delineation work and targeting a maiden resource later this year. We are also planning resource delineation work at various projects, including Nelligan, the Rouyn project and the recently acquired Fayolle property in Quebec, Diakha in Mali and the new Karita discovery in Guinea. On that note, I will now pass the call over to Carol to review our financial results.
Carol Banducci: Thank you, Gord, and good morning, everyone. As Gord mentioned, we demonstrated our leverage to the gold price in the year, generating $223 million in mine site free cash flow, an increase of 280% over the prior year. Mine site free cash flow was $78 million in the fourth quarter. We continue to prudently manage our balance sheet, recognizing that we have a substantial capital allocation to our transformational growth project, Cote Gold. As at year-end, we had $948 million in cash, cash equivalents and short-term investments, excluding restricted cash of $39 million. Combined with our largely undrawn credit facility of $500 million, our liquidity at year-end was nearly $1.5 billion. This month, we further extended the maturity of $490 million available under the credit facility by one year to January 2025. With this level of liquidity, we believe we are well positioned to execute on our growth plans. In the fourth quarter, and subsequent to year-end, we were able to execute favorable hedges on gold, fuel and currency. These activities included the addition of gold hedge collars for 2021 in the range of $1,600 to $2,800 per ounce on 78,040 ounces and gold hedge collars on 24,000 ounces at $1,700 to $2,700 per ounce that covers the first half of 2023. And I'll just pause there because we have received some questions overnight around the collars. And just to be clear, they are collars. So if gold prices are in the last case, below $1,700, then we receive a floor price of $1,700 at the gold prices above $2,700 then we're capped at $2,700. And any spot price of gold between that range, we will receive. In addition, we received a number of zero cost collar options on fuel contracts at prices below $55 per barrel for the period 2021 through 2024. For IAMGOLD share, the Cote Gold project cost -- and callers are being used to mitigate our currency risk. For 2021, approximately 44% of the Canadian dollar exposure is hedged in the range of 1.28 to 1.47, this together with nearly CAD145 million that we have on hand, increased the 2021 Canadian dollar hedged position to 73%. For 2022, approximately 28% of the Canadian currency exposure for Cote was hedged in the range of 1.30 to 1.48. And for 2023, approximately 65% of the Canadian currency exposure was hedged in the range of 1.30 to 1.46. Looking forward to 2021, we expect depreciation to range from $295 million to $305 million with cash taxes ranging from $78 million to $88 million for the year. Note that, in 2020, we have reported COVID-19 expenses and other expenses given the assessment that they are incremental costs that do not typically form part of the cost of our production and are, therefore, not reflected in our unit costs. Turning to the fourth quarter financial results. Revenues were $348 million, up 18% from the prior period and 4% over the third quarter. Adjusted net earnings for the quarter were $19 million or $0.04 per share impacted by the removal of deferred tax recoveries arising solely from the movement in foreign exchange rates. And that was mostly Essakane where we saw the euro at the beginning of the year go from 1.12 to 1.22 relative to the U.S. dollar. We also incurred higher G&A expenses related to executive retirements and higher depreciation expense. Net cash from operating activities before changes in working capital totaled $108 million. And the gross profit margin was just over 24%, representing a significant improvement over the prior year period of 14%. For the year ended 2020, revenues were $1.24 billion on higher realized gold prices partially offset by lower sales volumes year-over-year. Cost of sales remained essentially flat, reflecting lower depreciation expense partially offset by higher royalties due to higher gold prices. Adjusted net earnings for the year were $88 million or $0.19 per share. Net cash from operating activities before changes in working capital totaled $368 million and a gross profit margin averaging 20% for the year. Mine site free cash flows reflects free cash flows from our operating mine sites with development capital and non-mine site activities adjusted out. As we noted earlier, mine site free cash flows have been robust, reflecting a 41% increase in the fourth quarter of 2020 from the same period in 2019, a 280% increase year-over-year. Following the strength in gold prices and our prudent management of the balance sheet, our liquidity, excluding restricted cash and including our largely undrawn $500 million credit facility, is nearly $1.5 billion. During the year, we successfully refinanced our bonds at a 5.75% coupon rate for $450 million due in October 2028. Both S&P and Moody's credit rating agencies reaffirmed IAMGOLD's stable outlook following the refinancing. And as I noted earlier, this month, we extended the maturity of $490 million near the credit facility to January 2025. Given our liquidity and institutionalized prudence and balance sheet management and risk management measures, combined with the anticipated free cash flows from our existing operations, we believe we are well positioned financially for the construction of our transformational Cote Gold project. In the last slide here, as you can see, our disciplined approach positions us as a leader amongst our peers with a net cash position and leading liquidity. And with that, I will now pass the call to Bruno to discuss operations.
Bruno Lemelin: Thank you, Carol. IAMGOLD is committed to the health and safety of our employees. In 2020, I am pleased to say, particularly given the context of the COVID-19 pandemic, that we outperformed our health and safety targets. For 2020, our DART and PRI rates were 0.46 and 0.67, respectively, for 200,000 hours worked. Unfortunately, the fourth quarter performance was affected by the Westwood seismic incident. With that being said, we were still able to meaningfully outperform our annual DART and PRI targets and achieved noteworthy year-over-year improvements of 10% and 23%, respectively. We continue to implement several initiatives, including I Am Safe, the revamped health and safety management program, to promote a safe work environment. We just released our updated reserve and resource estimate for 2020, which reflects 13.9 million ounces in attributable proven and probable reserves for a 17% decline year-over-year; 23.9 million ounces in attributable measured and indicated resources for a 12% decline year-over-year; and 11.3 million ounces in attributable inferred resources for a 6% decline year-over-year. The updated figures reflect the sales of the noncore Sadiola mine at the end of 2020. Excluding the sale of Sadiola, total attributable proven and probable reserves decreased by 1.2 million ounces or 7%. The updated figures also include operating mine depletion and the reclassification of reserves at Westwood previously reported in August of last year. Mining is a depleting activity, and this is the first time in several years that we have seen a decline in our reserves and resources. However, as Craig will discuss, we are working hard in exploration to develop further resource potential. For the quarter, we are reporting total consolidated attributable production of 169,000 ounces and attributable gold sales of 172,000 ounces; cost of sales of $1,045 per ounce sold; total cash costs of $998 per ounce produced; and all-in sustaining cost of $1,294 per ounce sold. We achieved the midpoint of 2020 production guidance reporting total consolidated attributable production of 653,000 ounces; cost of sales of $1,057 per ounce sold; total cash costs of $984 per ounce produced; and all-in sustaining cost of $1,232 per ounce sold. I will now review each operation in turn. At Essakane, attributable gold production was 103,000 ounces for the quarter and 364,000 ounces for the year. Production was up quarter-over-quarter due to the mining of high-grade zones, though partially offset by lower recoveries due to. Total cash costs for the year were $936 per ounce produced, up year-over-year due to increased royalties on higher gold prices and higher operating cost due to stockpiles, to drawdowns and increased cyanide consumption. All-in sustaining costs for the year were $1,098 per ounce sold up year-over-year due to higher cost of sales partially offset by lower sustaining capital. I note that the election process in Burkina Faso was concluded smoothly with the prior administration. As Gordon noted earlier, at Essakane, we have reconfigured the camp to accommodate new COVID-19 protocols and have been operating at normal capacity since the third quarter. In addition, we have a steady production outlook for 2021 with additional pushback work planned. The mill optimization project is targeted for completion in the first quarter with an anticipated 10% improvement in -- processing. As you can see from the table, 2020 reserves and resources were updated to include annual mine depletion. At Rosebel, attributable gold production for the fourth quarter was 52,000 ounces, demonstrating a steady increase in mining activity. Rosebel recovered from the midyear suspension, reaching 75% operating capacity at year-end and is operating at 85% currently. For the full year, Rosebel produced 210,000 ounces of gold, reflecting the suspension and the gradual resumption of the mining activity. We have established offsite field hospital facility to accommodate any cases. Total cash costs for the year of $1,017 per ounce produced were higher year-over-year. Lower production volumes from the temporary suspension midyear and higher royalties on higher gold prices are among the main drivers of the increase. All-in sustaining costs were $1,224 per ounce sold for the year, higher year-over-year due to higher cost of sales offset by lower sustaining capital. In terms of ESG, the Rosebel Community Fund is operational with two worthy projects funded, one for solar energy and another for potable water in the village of Saramacca. Our COVID-19 protocols are in place, and we expect to reach our normal workforce capacity in the first quarter of 2021. In 2021, our outlook reflects it sequencing and the shift of waste stripping from 2020. We expect to complete the noncritical PEP infrastructure for Saramacca in the first half of 2021, and continue to -- continue the collective labor agreement negotiation process. Year-end 2020 reserves and resources noted in the table below were updated to include mine depletion. On this slide, you can see an area and direct view of the truck shop, on-site genset, the tire shop, the 23-kilometer all road and bridge, which was completed, achieving a noteworthy milestone of zero last time incident over more than 700,000 work hours. Westwood produced 14,000 ounces in the fourth quarter 2020 with the mill processing stockpiles and open pit ore while the underground remains suspended. For the full year, Westwood produced 79,000 gold ounces. Both figures were lower than the prior year period due to the suspension. I will note that the transitioning to 24-hour seven days a week mining, the Westwood mill achieved the highest annual mill throughput performance seen since 2005. Total cash costs for the year were $1,117 per ounce produced, higher year-over-year on lower production. All-in sustaining costs for the year were $1,286 per ounce sold, higher year-over-year due to higher cost of sales partially offset by lower sustaining capital due to the COVID-19 restriction and underground mine suspension. From a COVID-19 perspective, Westwood was impacted in late Q1 with the government-mandated shutdown, from which we were able to establish strong protocols to manage the health and safety of our workforce. These protocols continue to work well. Our outlook for Westwood in 2021 is tempered by the pending business resiliency plan. Our national instrument 43-101 report, published in August 2020, is paused as a result. We anticipate a restart at Westwood in the second half of 2021, targeting safe extraction from multiple zones. In addition, we are advancing the study to assess the potential of assets in the Westwood's hub-and-spoke concept. Reserve and resources increased slightly net of annual depletion with the addition with the addition of incremental ounces from the Grand Duc open pit deposit as we incorporated more drilling data completed in 2020. Underground reserves and resources were adjusted for mine depletion with no further refinements. The hub-and-spoke model for Westwood is based on the excess capacity we have at the mill, which acts as a hub, with regional targets as -- acting as spokes. This model with ore feed eventually followed by Fayolle ore feed pending permitting, with target production for Fayolle commencing at the end of 2022 and running for two years. I will now provide an update on our construction project, Cote Gold. We believe the Cote Gold project meets the criteria of a Tier one asset, boosting a long life potentially exceeding 18 years of mine life; 493,000 ounces of gold production annually in the first five years on the 100% attributable basis; second quarter total cash cost of $600 per ounce; second quarter all-in sustaining cost of $771 per ounce and coating is located in a mining-friendly jurisdiction with further potential upside for exploration. We expect the Cote Gold project to add tremendous value to IAMGOLD with a net present value of $2.5 billion, an internal rate of return of 25.9% on a 100% basis at a gold price of $1,900 per ounce. We are proud to have strong stakeholder relationship with joint venture partners, Sumitomo, indigenous communities, Flying Post and Mattagami and our Northern communities. As of December 31, 2020, detailed engineering for Cote has advanced to approximately 73% complete. In the fourth quarter, camp construction progressed on plan, along with road access development and the finalization of salvage activities. Major earthworks commenced earlier this year ahead of schedule. Last year, we spent approximately $51 million on Cote construction. In addition, approximately 45% of the total expenditures range referenced from July 1, 2020, is committed. We have continued to advance our permitting for construction, anticipating in due course for additional approvals under the lakes and rivers improvement at approximately 10 minor permits and approvals. You can see here pictures of the construction camp at Cote, the processing plant location, earthworks activity, the earthworks laydown area, the corridor installation and construction equipment. I'd like to highlight this slide because it demonstrates Cote's sensitivity to the gold price with both after tax net present value and internal rates of return shifting dramatically up in the current gold price environment. While we are pleased to see this potential, our internal modeling for Cote is based on conservative prices and assumptions so that this project is defensively positioned for gold price volatility. I will now turn the call over to Craig to discuss development and exploration.
Craig MacDougall: Thank you, Bruno, and good morning, everyone. Before I begin, please note that the results I talk about today have been previously disclosed in accordance with securities regulations and signed off by the qualified persons within the company reporting them. In 2020, our exploration spend was $36.3 million compared to $47 million in 2019, exclusive of project studies, a reduction largely reflective of the impacts of COVID-19 restrictions on our exploration programs in various regions. In 2021, planned exploration spending totals $56 million, split approximately 60-40 between greenfield and brownfield targets. I will now review a few highlights from the exploration work completed in 2020. At our Nelligan project in Canada, we reported assay results from our 2020 infill expansion diamond drilling program throughout the year. Starting in the second quarter, highlights included 25.1 meters, grading 1.9 grams per tonne gold and 27 meters grading 2.9 grams per tonne gold Additional assay results were reported in the third quarter with highlights of 39.1 meters, grading 2.1 grams per tonne gold and 34.5 meters, grading 1.9 grams per tonne gold. And finally, the remaining results from this program were reported in the fourth quarter of 2020 and included 17.3 meters grading 7.6 grams per tonne gold and 21.8 meters, grading two grams per tonne gold. At an adjacent -- or sorry, at our Gosselin discovery adjacent to the Cote Gold deposit in Ontario, we reported assay results in January 2021 from 24 diamond drill holes totaling just over 10,000 meters completed as part of our 2019-2020 delineation drilling program, which continue to intersect wide zones of alteration and associated mineralization similar to that observed at the Cote deposit itself. Highlights included 86 meters creating 5.6 grams per tonne gold, which included a 30.5 meter interval grading 14.7 grams per tonne gold. As well, we had 164 meters grading 1.5 grams per tonne gold; 417.3 meters, grading 1.0 grams per tonne gold, which included 197.3 meters, grading 1.6 grams per tonne gold; another intersection of 202 meters grading 1.2 grams per tonne gold and 353 meters grading 1.0 grams per tonne gold, which included a 46-meter interval grading 3.4 grams per tonne gold, very impressive intersections from that program. At Boto, we completed 23,000 meters of infill reverse circulation drilling aimed at resource conversion. At our Monster Lake project in Canada, we successfully consolidated our ownership to 100% and reported assay results from the 2020 drilling program targeting the Annie Shear Zone area, a long strike from the defined mineral resources at the 325 Megane zone. Drill highlights from that program included 3.8 meters grading 16.9 grams per tonne gold; 2.8 meters grading 5.6 grams per tonne gold; and 12.3 meters grading 2.1 grams per tonne gold. As we have shown before, industry reserves have been on a steady decline since 2012, representing a significant challenge to the future of our industry. IAMGOLD has worked hard to differentiate ourselves from this industry trend. And although this year, we did see a decline primarily due to the sale of the noncore asset, Sadiola, the usual mine depletion from our annual mine production and a reclassification of reserves that Westwood announced earlier in the year, we continue to commit to discovery-oriented exploration programs to support future growth. In 2021, we have several brownfield exploration targets. At Essakane, drilling is focused on resource potential at targets within trucking distance of the mine and include our gem target, Korizena and Tassiri. At Rosebel, we are focused on resource development at our existing deposits and the exploration of high potential targets within our extensive concessions. At Westwood, we are planning continued resource definition drilling and development, supported by geotechnical drilling along with plans to advance our regional greenfield targets, including the further delineation of the Lac Gamble Zone at the Rouyn Gold project. This work will support a future maiden resource estimate for this target. In addition, we are planning the evaluation of the resource potential at the historic Augmitto deposit and the Cinderella zone also at the Rouyn Gold project. At the Gosselin discovery located 1.5 kilometers northeast of the Cote deposit, continued delineation drilling is in progress to support an initial resource estimate later this year. At the Boto Gold project in Senegal, $60 million in capital expenditures was planned in 2021 for the continued derisking of the project, including the construction of an all-year access road, engineering for critical plant equipment and advancement of sustainability programs to both promote social collaboration with local communities and ensure adequate environmental protections. It is important to note that the capital cost estimate and the optimization study reflects pricing as at the second quarter of 2019 and is deemed to have an overall accuracy of plus or minus 15%. The study estimate excludes escalation, inflation and the impact of project and schedule changes. The derisking activities at Boto will help position the project for an eventual construction decision subject to market conditions and the construction progress at Cote, among other factors. Anchors are Bambouk District, where our exploration efforts have led to several additional discoveries building on the resource potential of the area. In 2021, infill drilling is planned at the Diakha deposit in Mali in order to upgrade additional inferred resources, while at Karita in Guinea, initial delineation drilling is planned to support a future maiden resource estimate. In North America, exploration at the Nelligan deposit in Quebec is intended to focus on resource expansion after the drilling results from the 2020 program confirm the expansion of mineralization beyond the current resource boundaries. This program will help support the completion of an updated resource estimate in the second half of 2021, while drilling at the nearby Monster Lake project will work to evaluate the resource potential of the Annie Shear Zone target area. Finally, I will finish with our project pipeline. Competition for, and access to, quality exploration projects at acceptable entry costs remains challenging for the industry and especially so in the face of the current environment of bullish gold prices. At IAMGOLD, we believe that a robust and balanced project pipeline strategically assembled and advanced is a fundamental asset for the future viability of any mining company. As such, IAMGOLD has developed and continues to invest in a healthy pipeline of early to advanced greenfield exploration projects to support future growth as well as support near-mine brownfield programs with a view to extend mine lives and leverage our existing infrastructure. With that, I will now pass the call over to Gord to conclude.
Gordon Stothart: Well, thank you very much, Craig. So IAMGOLD is beginning an exciting transformation as we focus on the future through the execution of our growth pipeline. In 2020, we announced the decision to proceed with the construction of the Cotw Gold project located in Ontario, which, along with the derisking of the Boto project in Senegal, positions IAMGOLD in a few years' time as a one million-ounce producer with all-in sustaining costs well below $1,000 per ounce, greater geographic balance and long-life mines. We look forward to continuing our quarterly conversations with you on IAMGOLD's operating mines, construction progress at Cote, derisking progress at Boto and exploration news. Thank you to everyone for joining our call today. I will now pass the call back over to the operator.
Operator: [Operator Instructions] The first question is from Fahad Tariq from Credit Suisse.
Fahad Tariq: Hi, good morning. Thanks for taking my question. On Westwood, can you give some more color on what the business continuity plan assessment entails? It sounds like the decision to access underground in the second half of the year has already been made. And I'm guessing that's already baked into the guidance, but maybe talk about like what exactly is being evaluated in that plan. And how could that change the way it's mined this year or what that means for the guidance this year? Thanks.
Gordon Stothart: Bruno, would you like to discuss that?
Bruno Lemelin: Yes. So in fact, as you mentioned, we are -- we keep investigating the incident from October 30. And what we want to make sure is that we don't have the same condition in the other zones where we're going to be mining. And so we're finalizing some geotech drilling and logging and analyzing just to ensure that Westwood remains safe, profitable and sustainable over time once we restart. So this is what we're doing. So we can have some line of sight as to when we expect to restart the operation. However, we need to, again, summarize the investigation first.
Fahad Tariq: And does the guidance for this year already incorporate accessing the underground or parts of the underground in the second half? Or is that upside to this?
Gordon Stothart: Yes, roughly around 50% of the ounces in the guidance are deemed to come from underground. That being said, Grand Duc is already somewhat overproducing. So -- but the guidance is based on an assumption of a second half restart at a limited pace initially and then building through the remainder of the year.
Fahad Tariq: Okay, that's very clear. That's it for me. Thanks
Operator: The next question is from Josh Wolfson from RBC Capital Markets.
Josh Wolfson: With regards to this royalty transaction, what payments would you expect to receive up front? And is there any sort of anchor asset that's driving the overall value?
Gordon Stothart: Craig, did you want to cover that?
Craig MacDougall: Sure, I can do that. The portfolio is essentially a group of historical royalty assets that date back -- some of them date back quite far in the company's history. I wouldn't say there's any specific anchor assets in there. There are variable attributable values depending on what the asset is, but there's not an overall singular anchor asset that's driving the value. It's just a collection of well-positioned royalties we've had over time that, in the current environment, have value. So we've assembled those and had groups looking at them, and essentially, the transaction that's documented in a release is the value that was put on it by the potential purchaser or the one that we'll be purchasing it. And it will be essentially all cash up front has been documented in the disclosure.
Josh Wolfson: Okay, got it. And for Cote, I understand the capital ranges have been reiterated. Within the overall expenditures so far, is there any sort of additional insight you can provide on directionally what's coming ahead of expectation, what's coming below? Just kind of giving us some insight on some of the inflation or perhaps even maybe deflation trends you're seeing on the line items.
Gordon Stothart: As we're working through on our commitments and signing up our firm contracts, we're not seeing anything that is wildly outside of what our initial budgets were. We have allocated some contingency to cover off some things, and there are a few areas where we've gained some contingency back. But given the level of engineering that we had by the time we actually came out with the construction announcement and understanding that a lot of the stuff was pre-negotiated, we really haven't seen a lot of surprises one way or the other. Obviously, the things still to be determined are volume variances on earthmoving. The fact we've already started our major earthworks on the tailings and the plant site already, as you saw from the photos that Bruno had up, and we'll be starting on the pit. I mean pit volumes were not so -- were not very worried about seeing a lot of volume variances there. But the other zones, in the tailings, will be up and out of the ground, have a lot of those foundation items out of the way by the end of the summer this year. So as we're working through things, Josh, it's more or less going as planned. There are minor variances, but nothing has really sort of -- has caused us too much concern on a materiality basis, either up or down. And again, it's just because of how far advanced the project was when we launched it, and that's sort of the same concept we're going through for Boto as we look at that.
Josh Wolfson: Got it. Okay. And then, maybe last question on Gosselin and looking at the opportunity there for the resource in the second half of the year. With -- assuming that, that turns out to be as expected in larger contribution to resources and perhaps reserves, would that result in any potential scope changes for the project? I know there's obviously some constraints on tailings. But is there anything maybe between today and actual first production where you would look at leveraging what that opportunity could be in the mine plan?
Gordon Stothart: It's a great question, Josh. And it's certainly something we've had a look at. That being said, we really are focused on executing the project that we've laid out. I am -- I don't have any problem in saying the design of the plant already has baked in a potential future expansion of around 20%. So that's actually built into the design and the layouts. We're not planning on building that future expansion at this point in time but that is one of the considerations we'll be looking at. The other place that Gosselin probably has some applicability, if you look at the production profile, and the grade profile for Cote over the life of the mine, we have a good run of six or seven years at relatively high grades, and then we get into a lower grade valley, if you will, in the production portfolio. Given -- obviously, we're still evaluating what Gosselin looks like. But assuming it has similar grade distribution and especially if there's any nicer grade areas closer to surface, there would be an opportunity for us to really look at maybe filling over that valley with higher grade materials from Gosselin if the opportunity presents itself. So those are the two main impacts we see from Gosselin, and we're in the process of evaluating, but we're really focused on executing that project as is.
Operator: [Operator Instructions] The next question is from Anita Soni from CIBC World Markets.
Anita Soni: First question, I think, is with respect to Saramacca. So there was some commentary in the release last night about the grades out of Rosebel -- sorry, out of Saramacca. Can you just talk -- give a little bit of color about what's going on there? Q4 was a little lighter than I had expected. But overall, how can we expect to evolve into 2021 there, both at Saramacca and Rosebel proper?
Gordon Stothart: Bruno?
Bruno Lemelin: Yes. So for 2020, as we were, in fact, developing the Saramacca project, we got access to the first ore packets, which were lower grade material. The first blocks of mineralization are showing that with grade that is lower than average. So we expect for 2021 to have the grade to go closer to the average of the deposit and after that again increasing over time. So that's going to help in terms of gold production overall. And same thing for growth at Rosebel. For our other pits, we know we have some stripping to do. There's some stripping that were supposed to be done in 2020 that we're going to do some catch-up in 2021 due to the reduced capacity we have with the mining crew. But after that, we also expect to have -- after a couple of years to have the grade to increase as well for Rosebel.
Anita Soni: Okay. So was that in line with your expectations around the first few packets? Or was that -- is that what the block model is predicting? Or was that something?
Bruno Lemelin: So far, it reconciled very good, and we are satisfied to some extent to what we are seeing right now. Again, it depends on the pit sequencing and also the -- where the position of your shovel. And again, right now, we don't have any surprise for Saramacca.
Gordon Stothart: Yes. I mean -- sorry, I was just going to say, the topography of Saramacca was such that we started sort of in the southeast on the highest part of the deposit, and the grade does improve a little bit as you move towards the Northwest or west Northwest. So as we're obviously mining down in the sequence and gaining access further and further west, you will see those grades come up. But the reconciliation for Saramacca has actually gone very, very well.
Anita Soni: Okay. And then just still on Saramacca, a bit more about the more about the reserves and resources. There -- I noticed in the M&I category, there are some higher grade material. Is that the underground, and that's why it's not in reserves right now?
Gordon Stothart: We haven't included any of the underground in resources. The higher grade is -- there's a zone to the -- closer to the northwest that we'll get down into in the mining, but we haven't included any underground yet in resources.
Anita Soni: Okay. So that pocket that was like a 3.8 gram per tonne material. Is there a reason why it's not in the reserves right now?
Gordon Stothart: I have to come back with you. Anita, I'm really -- I need to look at that. I don't know if Craig or Bruno have some insight there.
Anita Soni: Unless I'm -- it was late last night, so maybe I'm. We can take it last, we can take it off-line.
Craig MacDougall: Yes. I think just to -- I mean, remember, resources have done or 1,500. The reserve shells are done at 1,200. So it's just looking at the stripping ratio and the assumptions at the time. But we can look into, Anita for more color on that.
Anita Soni: So that makes sense. Yes.
Gordon Stothart: It does make because it might be getting down into those underground zones, even with a pit at that higher price.
Anita Soni: Got it. Okay. And then, just in terms of the actual reserve resource update, as you guys had mentioned, I mean, you usually have a pretty strong track record of reserve replacement. I think it's almost a decade running. So understanding that COVID hit everybody this year, can you just talk about the -- like why reserve replacement was almost nil? Like was it just a matter of timing? Or was it just -- was there something that's kind of held back getting some of your resources, reserves converted or drilling done? Or is it just a matter of not enough drilling done this year?
Gordon Stothart: Originally, we had planned for more fulsome reserve and resource updates at the sites. We did sacrifice drill programs in 2020 as we adjusted for COVID and camp capacity. So yes, it's mostly a matter of us understanding where those reserves and resources are. That being said, we have restarted those programs, and we do expect that we'll be able to give a better picture this year. We're also looking at what are mining sequences and everything are doing. And I think also important to point out that we've retained a $1,200 gold price for reserve definition mostly to really protect cash flows through the construction period for Cote and eventually Boto. But on the shorter life assets at some point in time, we'll need to think about what gold prices we apply because there is -- there's certainly much more gold at Essakane and Rosebel that is potentially accessible under a higher price.
Anita Soni: Okay. And last question for me is with respect to the special unity levy, is that what they're calling it in Suriname, so that's your best understanding is that that's just for this year, and it will expire into 2022?
Gordon Stothart: That's the way it's been written. It's for this year. And we're still in discussions with them as to how that applies.
Anita Soni: Okay. And that's as a result of COVID? Or was there some other precipitator for that?
Gordon Stothart: No. I think the new government coming in, the treasury was in a bit of a mess. So they they've done a lot of work on refinancing the country and trying to get things straightened out. Several years of lower gold prices and oil prices hadn't helped them. And I think they're just trying to put the house in order. The reason it's relatively temporary and something that a lot of developing countries don't have is they recently had a significant oil find in Suriname. And the expectation is that as that gets developed over time, it will significantly change the finances of the country. So it's a short and medium-term issue more than a systemic long-term issue for them.
Operator: The next question is from Tanya Jakusconek from Scotiabank.
Tanya Jakusconek: I just wanted to circle back to Westwood, and I appreciate some of the information on what's happening there with the geotechnical drilling and logging and trying to assess the other parts of the mine and the impact. Just a question for when are we going to get some more clarity for the longer-term outlook for this mine. We're obviously waiting. We've had a change in sort of the mine plan, I guess. And we are now looking at more satellite deposits being supplemented to the production profile. So when are we going to get an update on the long term.
Gordon Stothart: Bruno?
Bruno Lemelin: Yes. Thank you, Gord. Look, we have issued 43-101 in August last year, and it was composed of not only derisking some mineral areas but also was including new mining methods. So we firmly believe that these new mining methods is going to be key for the future success of Westwood. Where we had the seismic event, it was an area where it was developed back in 2016. So for -- and right now, that area was almost already mined out. So for the future development, and for the future extraction or extraction that was -- we're going to rely on those new mining methods, and that will -- is still in the plans. Again, it's just what we are planning to mine in 2021. Just want to validate that the condition that were present during the seismic event of October 30 are not replicate in the other zone where we had prior development. So once we have this -- and we restart, we're going to have rejuvenation and update of our life of mine, including those new mining methods, and we'll be able to publish it. So probably in the next quarters, we'll be able to have a better signal with regard to the longevity of Westwood. With the under -- Longueuil stop it's clearly going to help us out and diffusing the constraint away from the mining zone. So we have asked many experts, we have many from all around the world, working on the Westwood plan, and we are confident that with this new mining method, it's going to help us out in having, again, a more predictable and safe and sustainable mine. So we just need to make sure that we do our check and balance with the geotech data before restarting and, after that, completing the new zones with those new mining methods. It's not all the zones that -- have been developed. We still have many other zones to develop, what needs to be developed with the new mining methods and the new mine -- stock sequencing as well. So those new practices will be put in place.
Operator: This concludes the time allocated for questions on today's call. I will now hand the call back over to Indi Gopinathan for closing remarks.
Indi Gopinathan: Thank you very much, Sachi, and thanks to everyone for joining us this morning and for your continued interest in IAMGOLD. We look forward to having you join us again for our first quarter 2021 conference call in May. Goodbye.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.